Philippine de Schonen: Good morning, everyone, and thank you for joining us this morning. We are pleased to welcome you to our Kering 2025 Full Year Results. We are here with Luca de Meo, CEO of Kering; Jean-Marc Duplaix, COO of Kering; and Armelle Poulou, CFO. This presentation will be followed by a Q&A session. Luca, the floor is yours.
Luca de Meo: Thank you, Philippine. Good morning, everyone. Very happy to be with you today. Of course, 2025 was not the year we wanted. I think it didn't reflect the full potential of Kering, and we all know it here. But what matters is our response, swift, disciplined and unwavering. Since the second half of the year, I can ensure you we have been taking action decisively to put the group back on the right trajectory. I think we're still far from where we want to be. We don't have everything in place yet, but we are building every day with focus. Our objective is clear, reignite desirability and prepare the next cycle of growth house by house, product by product, client by client. So 2025 was a turning point, not because of the numbers, but because of the decision we started to take. And I want to thank Francois-Henri and the Kering Board of Directors for their trust, their support. This trust allowed us to move fast and to start shaping the strategy, we will present during our Capital Markets Day in May (sic) [ April ]. Over the last month, we strengthened our financial flexibility. We reshaped parts of our portfolio. And we made bold strategic moves to give our houses the space and the time they need to regain momentum. A very important step, of course, was the partnership with L'Oreal. It allows us to accelerate the development of our beauty business with the #1 player in the world, unlocking power that we could not reach alone and also prepare our entry into the high-growth wellness and longevity segment, a space where we want to play and where we know value and growth will be created. In jewelry, the progressive acquisition of Raselli Franco, I think, reinforces our industrial capabilities in a category where we see tremendous potential. It gives us more control, more know-how and more capacity to scale. And this is only the beginning. Sharing the full ambition of our jewelry strategy is, of course, also on the agenda of the Capital Market Day. In parallel, we started to reinforce our operational discipline while protecting everything that makes our houses desirable. 75 fewer stores in 2025, net, a sharper, higher quality retail footprint, 8% reduction in inventories at the year-end, and we will go further in 2026. EUR 925 million in cost savings, down 9% compared to 2024, improving our agility and focus while preserving creativity and craftsmanship. On sustainability, I want to say that Kering remained at the forefront in 2025. It's a real competitive advantage, recognized again this year with our CDP Triple A rating for the third year in a row. But beyond recognition, we focused on delivery, closing our 10-year sustainability strategy and already shaping the next chapter, which we will present, of course, at the CMD. For us, at Kering, sustainability is not a separate agenda. It guides the way we create, source and operate the business. Producing less but producing better will remain a core principle to protect our brand equity, our clients and our environmental footprint. 2025 also marked the beginning of a creative renewal across houses, new creative leadership, new expression between heritage and innovation at Gucci, at Bottega Veneta, at Balenciaga. I think the feedback is encouraging. We are not celebrating anything yet, but I believe the momentum is building step by step. And one conviction has become even stronger week after week, day after day, creativity is our North Star. It is what sets luxury apart, but creativity only becomes value when execution follows at the same pace, in retail, in supply chain, in merchandising, in marketing. This is where we are putting our energy into. On the ground, the acceleration, I believe, is already visible. I spend time every weekend in our stores seeing the teams, talking to clients, feeling the product. And I can tell you, there is energy coming back. Our products are reconnecting with our clients. We saw progress in Q3 and Q4 with sales trends improving quarter after quarter. The momentum is real, early, fragile but real. And I can guarantee you that we will build on it. Before handing over to Armelle, let me highlight the key figures for the year. Excluding Kering Beaute, revenue for 2025 amounted to EUR 14.7 billion, down 10% on a comparable basis, with a clear sequential improvement throughout the year and Q4 at minus 3% on a comparable basis. This revenue level reflects the low point of the cycle and the starting point of our rebound. Recurring operating income reached EUR 1.6 billion, corresponding to a 11.1% EBIT margin, showing the impact, of course, of a difficult top line. Operating income will now start to benefit from the first effects of our work on top line and efficiency. Free cash flow amounted to EUR 4.4 billion, including real estate transactions. And finally, net financial debt decreased by EUR 2.5 billion to EUR 8 billion even before the impact of the L'Oreal transaction, which we will close in the first half of 2026. These results are not where we want to be, but they mark the bottom and the first steps of the turnaround we have initiated. Armelle will now take you through our operational and financial performance in more detail. Armelle, over to you.
Armelle Poulou: Thank you, Luca, and good morning to all of you. As you have clearly stated, 2025 was a turning point we needed. The figures I will present confirm this low point. But let's be clear, these numbers establish a starting line from which we are now driving our turnaround, and they are the evidence of the financial discipline that underpins our strategy. Let's start with revenue on Slide 8. As a reminder, in accordance with IFRS 5, Kering Beaute has been deconsolidated from our fiscal year 2025 accounts and has been restated from 2024 figures to provide proper comparison. So all figures discussed in this presentation exclude Kering Beaute. Full year revenue reached EUR 14.7 billion, down 10% in comparable terms and 13% reported. ForEx was a 3-point headwind, mostly due to the strengthening of the euro against the dollar and the yen. The scope effect was immaterial, linked only to the turnover from The Mall for 1 month disposed of in January 2025. But the annual numbers don't tell the whole story. The critical point is the sequential improvement we delivered throughout the second half with Q4 showing a clear acceleration. This tells us our actions are starting to gain traction where it matters most, with our clients. Our geographic footprint remains well balanced across regions. We see the stable profile, we saw some mix adjustment during the year. Asia Pacific declined by 2 points to 29%, while North America and Western Europe each gained 1 point. Japan and the rest of the world maintained their respective shares. Slide 9 shows that throughout the year, we saw a gradual recovery with Q4 coming at minus 3%, representing a sequential improvement versus Q3 despite a more demanding comp base. The acceleration in trends was visible across all segments, returning to positive territory, except for Gucci. At group level, in Q4, AUR grew high single digit with only a minor impact from pure price increases, reflecting our actions to improve the mix within our brands. Conversion rate improved slightly, which is also encouraging. On the other hand, traffic remained soft. December, despite facing the toughest comparison base of the quarter, delivered a performance slightly better than we expected and remain consistent with the overall quarterly trend. On Slide 10, let's take a closer look at revenue by channel. Retail, including e-commerce, accounting for 76% of total revenue with the balance coming from wholesale, royalties and other. For the full year, retail declined 11% comparable with improved trends in the second half. After a 9-point sequential improvement in Q3, our retail channel, which is the heart of our business, saw its performance improved by 3 points in Q4 versus Q3, ending the quarter at minus 4% comparable despite a tougher comparison base. This progression was driven by a strong AUR but also by some improvement in volume trends. Included in retail, e-commerce was down 12% comparable in 2025 and represented 11% of retail sales in line with last year. Online performance also improved progressively throughout the year. Wholesale and other revenue declined 7% on a comparable basis in 2025. Consistent with our move towards greater exclusivity, together with a challenging market situation in some regions, wholesale was down 19% for our luxury houses. We have delivered on our plan to strengthen the control of our wholesale distribution, bringing down wholesale revenue for our luxury houses in line with the target we set in February 2024. In the fourth quarter, wholesale and other revenue were down 2% on a comparable basis. For our luxury houses, wholesale posted a sequential improvement with a decline contained to 9%. Kering Eyewear reported a solid and consistent wholesale performance, up 3% in 2025 and in the fourth quarter. Royalties and other revenue were up 6%, both for the full year and in Q4. Now turning to retail trends by geography on Slide 11. As you can see, we registered a sequential improvement in 3 of our 5 main regions in Q4 and a sequential improvement in all regions if we look on a 2-year stack. Western Europe was down 7% in Q4, in line with Q3 despite a tougher comparison basis. On a 2-year stack, however, retail sales in Europe have improved 4 points restated from Kering Beaute. Tourism remained weak, affected by the decline in Asian visitors. Local demand accounting for 51% of the total was still subdued, though not consistently across brands. Saint Laurent returned to growth in the region. For the full year, Western Europe was down 11% on a comparable basis. In North America, Q4 delivered a 2% comparable growth, maintaining solid momentum with only a 1 point deceleration versus Q3 despite a 5-point tougher comparison base. The higher-end segment performed better. And importantly, Gucci was flat in Q4 versus last year, marking the end of the decline in the region. For the full year, North America was down 5% in retail with the U.S. cluster broadly in line with the region. Japan improved in Q4 to minus 7%, supported by a more favorable comparison basis. Tourist purchases accounted for around 33% of sales in the country. Local trends were similar to Q3. The decline in tourist spending continued, but was less pronounced than in prior quarters. We can highlight that in Q4, Bottega Veneta turned positive in Japan. For the full year, Japan retail was down 16%. The appreciation of the yen, combined with the rebalancing of price gaps between geographical zones, significantly reduced the market's attractiveness for tourist customers. Asia Pacific showed a clear acceleration in Q4 at minus 6%, marking a 5-point improvement versus Q3, driven by Mainland China, Hong Kong, Taiwan and Korea. The Chinese cluster also improved slightly quarter-on-quarter, ending the period down mid-teens. For the full year, retail in Asia Pacific was down 16%. Finally, Rest of the World was up 3% in Q4, fueled by Middle East and to a lesser extent, Latin America. For the full year, retail in the Rest of the World was stable, slightly positive in the Middle East. Now let's move to results on Slide 12. At EUR 1.6 billion, recurring EBIT was down 33% year-on-year, representing a 340 basis point margin dilution and that was more contained in the second half with a 120 basis point decrease. While the 11.1% EBIT margin reflects the top line pressure, it more importantly demonstrates our efforts. To protect our profitability in such a challenging environment, it required rigorous cost management and deliberate choices. This discipline is precisely what provides a healthy financial foundation to fund our comeback. To support our brands, we continue to invest selectively in key areas while maintaining strict cost control in others. We delivered EUR 925 million in savings this year, reducing our OpEx base by 9%. This was not about blind cost cutting. It was a smart reallocation of our resources. We successfully protected creativity while boosting our efficiency, which is precisely how we are rebuilding our firepower to invest in our brands. At year-end, our store count was 1,719, a reduction of 75 units, fully in line with our plan and reflecting our strategy to upgrade the quality of our footprint, fewer stores, but in stronger and more strategic locations. In 2025, we opened 58 stores and closed 133, resulting in these net 75 closures. Our store network is being assessed constantly, and we have accelerated its rationalization by closing stores that no longer support our ambition to strengthen sales density. This is why in 2026, there will be another reduction of the retail footprint with 100 net closures already planned and more still under discussion. In the fourth quarter, we closed 18 stores, but we also continue to enhance the quality of our retail network with key openings, including the stunning Saint Laurent flagship on Avenue Montaigne in Paris, a new Bottega Veneta store in New York's Meatpacking District. We also expanded the Boucheron presence in the UAE with openings in Dubai and Abu Dhabi. At EUR 2.3 billion, free cash flow generation, excluding real estate transaction, was down 35% compared to 2024. Including real estate, it amounted to EUR 4.4 billion. CapEx, excluding real estate transaction at EUR 0.8 billion was down almost 30%. The CapEx to sales ratio was 5.4%, declining 1 point versus last year. We prioritized investments to upgrade the store network of our brands and selectively expand its footprint. Net debt stood at EUR 8 billion at year-end, down EUR 2.5 billion versus last year, confirming that our deleveraging strategy is firmly on track and that financial pressure continues to ease. In addition, the EUR 4 billion cash inflow from the Kering Beaute deal will further strengthen our balance sheet in the first half of 2026. I will now comment on our houses, starting with Gucci on Slide 15. Revenue for the full year came in at EUR 6 billion, down 22% reported and 19% comparable. Retail, down 18% comparable, accounted for 92% of sales. Wholesale decreased by 34%, and royalties declined 2%. In Q4, retail was down 10% on a comparable basis, showing a clear sequential acceleration driven by almost all regions, except Western Europe. The 3-point quarter-on-quarter sequential improvement was supported mainly by North America and APAC. The launch of La Famiglia collection, together with the surrounding activations has put Gucci back at the center of the attention. Newness trends, including revamped carryovers, continued to strengthen, reaching 60% of the mix in Q4. The AUR increased, thanks to the improvement in the performance of handbags. There was nearly no pure price increase. Wholesale was down 34% on a comparable basis for the year, reflecting the strategic rationalization of this channel and a reduction in the number of doors. In Q4, wholesale was down 14%. Gucci posted a full year recurring operating income of EUR 966 million, resulting in a 16.1% EBIT margin. There was a negative operational deleverage from lower sales, but it was partially offset by substantial efforts on the cost structure while reinvesting in product development. Over the year, the house continued to elevate its retail footprint, closing 32 stores, mainly in Asia Pacific and Japan. This is part of its strategy to reinforce its presence in the prime location and offer an increasingly exclusive experience to its clientele with exiting lower contribution sites. Some highlights on Saint Laurent, Slide 17. Saint Laurent delivered EUR 2.6 billion in full year revenue, down 8% reported and 6% on a comparable basis. Retail declined 6% comparable, and wholesale decreased by 14% as the house continued to streamline and elevate its wholesale network. Focusing on Q4, retail was flat year-on-year, marking the third consecutive quarter of sequential improvement, supported by better trends in Western Europe and Japan, while North America remained positive. In leather goods, new launches and reinterpretations of iconic bags were very well received, even if they did not fully offset for the softness in carryovers. Women's ready-to-wear and footwear collections delivered strong growth, fueled by the success of the latest collections and new introductions, particularly in footwear such as the loafer and the Babylon. Traffic remained under pressure in Q4, but this was offset by a higher average ticket and stronger conversion. Wholesale grew 5% comparable in Q4, reflecting a phasing effect. Full year recurring operating income reached EUR 529 million, delivering a robust 20% margin. The house maintained its profitability through efficiency measures that help reduce the cost base. The year was also marked by major investments in high-impact retail locations with several flagship openings. The relocation on Avenue Montaigne in Paris inaugurated in Q4 has been performing exceptionally well and the reopening of the Via Monte Napoleone 8, flagship in Milan, further strengthened the house's footprint in prime luxury destinations. Moving to Bottega Veneta on Slide 19, whose full year revenue was EUR 1.7 billion, up 3% comparable. Retail activity remained robust with revenue accounting for 86% of sales, up 4% on a comparable basis. Wholesale declined by 6%, in line with Bottega Veneta's strategic focus on selective distribution. Royalties delivered a strong 25% increase, benefiting from the initial launch of Bottega Veneta fragrances. In Q4, retail posted a solid plus 5% comparable despite a very demanding comparison base. North America was a key contributor, delivering mid-teens growth in the quarter. Performance continued to be driven by the strong appeal of the leather goods offering, while the brand expanding across other categories. In Q4, Bottega Veneta recorded double-digit growth in ready-to-wear and shoes. Revenue also benefited from a sustained increase in AUR and from the recruitment of new VIC clients. Wholesale declined 9% in Q4, consistent with the brand's disciplined approach to distribution. Full year recurring operating income reached EUR 267 million, up 5% year-on-year, resulting in a 15.6% margin. Gross margin improved, and the brand continued to invest in communication and store upgrades to support its strong momentum and reinforce its positioning. Comments on our Other Houses are found on Slide 21. At EUR 2.9 billion, 2025 revenue was down 6% on a comparable basis. Retail, which represented 77% of sales declined 4% comparable, while wholesale decreased 15% comparable as our soft luxury houses continue to strengthen their control over the distribution. In Q4, retail revenue rose 6% on a comparable basis, while wholesale was down 9%. Trends across our soft luxury brands remain contrasted. Balenciaga delivered a sequential improvement, with retail turning positive in Q4 in Asia Pacific, and maintaining solid momentum in North America. For Alexander McQueen, the year and Q4 remain challenging. We are taking firm and decisive actions to restore sustainable performance. The restructuring plan of the brand is well underway. It included the closure of 21 stores in 2025. Brioni delivered another strong year, with Q4 revenue up double digits, driven by excellent traction in Western Europe and Rest of the World. Our jewelry houses once again posted very robust trends in Q4, confirming the strong desirability and resilience of our houses. Boucheron achieved outstanding momentum, with revenues up in the mid-20s on a comparable basis and outstanding performance in Japan and Asia Pacific. Pomellato pursued its steady trajectory with solid resilience in Asia Pacific and line growth in both North America and Japan. Qeelin had another sound year, up in the mid-teens with a clear acceleration in the second half. The jewelry division continues to be one of the group's most dynamic growth engines, supported by strong brand equity, consistent investment in creativity and craftsmanship. At the same time, Boucheron expanded its geographic footprint by opening new stores, notably in Los Angeles, Rodeo Drive, Shanghai, Xintiandi, Abu Dhabi and 3 openings in Dubai. Recurring operating income for the Other Houses amounting to minus EUR 112 million in 2025 as soft revenue performance at Balenciaga and losses at Alexander McQueen weighed on profitability despite ongoing deep restructuring efforts. Conversely, Boucheron delivered higher results over the period, supported by strong brand momentum and disciplined execution. Now turning to Kering Eyewear and our Corporate segment, which no longer includes Kering Beaute. On Slide 24, revenue at Kering Eyewear came close to the EUR 1.6 billion mark this year. Comparable revenue was up 3%, both for the full year and in Q4. Performance was driven by sustained growth in Western Europe as well as in the optical category. Kering Eyewear operating income stood at EUR 252 million, reflecting a solid operating margin of 15.8%. The slight moderation comparative to last year mainly stems from higher custom duties and continued strategic investment in Maui Jim to support its development in new markets. As for Corporate costs, they were down EUR 10 million year-on-year, reflecting ongoing efficiency initiatives. The remaining lines of the P&L are summarized on Slide 24. Nonrecurring result was negative EUR 584 million. This reflects a combination of items, including capital losses on real estate deals in Paris and New York, offset by gains from the sale of the building in Japan and the disposal of the mall, impairment and restructuring charges related to the streamlining of our store network and organizational optimization initiatives, adjustments related to the building at Via Monte Napoleone 8 in Milan following its reclassification under assets held for sale and finally, the European Union Commission (sic) [ European Commission ] fine which we communicated on in October. Net financial charges amounted to EUR 594 million compared to EUR 614 million last year. The cost of net debt at EUR 328 million was broadly stable with the average coupon on our bonds remaining at 3%. Corporate tax amounted to EUR 354 million, down substantially from last year. The tax rate on recurring income was 36%, above our normative tax rate, mainly due to the losses generated in the United Kingdom by Alexander McQueen and by the one-off impact of the reclassification of Kering Beaute into discontinued operations. For 2026, our best estimate so far is a tax rate around 33%. We will be gradually back to our normative tax rate of 27% to 28% in 2 to 3 years. Net income group share amounted to EUR 72 million and to EUR 532 million, excluding discontinued operations and nonrecurring items. A few comments on free cash flow on Slide 25. Net cash flow from operating activities reached EUR 3.1 billion, down 34% versus last year, in line with the decline in recurring operating profit. It benefited from lower taxes paid, but the change in working capital was more limited than in the previous year. Excluding real estate transaction, free cash flow from operations was EUR 2.3 billion. Slide 26 illustrates our disciplined capital allocation in action. This year, we focused on strengthening our balance sheet. Through sound cash generation and real estate refinancing, we achieved a significant EUR 2.5 billion net debt reduction, bringing our year-end position to EUR 8 billion. This demonstrates our commitment to a strong financial profile with a resulting leverage ratio of 3.4x. So this net debt reduction will continue this year. A quick look at our balance sheet and financial structure on Slide 27. You will notice that we have reclassified EUR 5.2 billion in assets held for sale, corresponding to EUR 3.7 billion net for the Kering Beaute division to be sold to L'Oreal, closing expected in H1 and EUR 1.3 billion for our building Via Monte Napoleone as we expect to close the transaction in 2026. Our net debt-to-equity ratio stood at 51%, an improvement from 67% last year, reflecting the positive impact of the real estate refinancing operations. Inventories decreased by 8%, and our operating working capital ratio increased by 0.8% year-on-year. It stood at 17.7%, up from 16.9% last year. Reducing inventory remains a key priority for the year, and we expect to bring them down further in 2026. My final comment relates to the dividend on Slide 28. The Board of Directors has proposed a dividend of EUR 3 per share. In addition, an exceptional dividend of EUR 1 per share will be proposed related to the disposal of Kering Beaute to L'Oreal. Both dividends are subject to shareholder approval at our next AGM. Return to shareholders is a key priority in our capital allocation framework. Our ambition is to resume dividend increases as of 2026, in line with the expected improvement in our performance. This ends my remarks. I thank you for your attention, and I will turn the mic back to Luca.
Luca de Meo: Thank you, Armelle. So as you can imagine, we still have a lot of work to do. Of course, not all the foundations are in place yet. But the good news is that we are moving forward with speed, with discipline and with a lot of determination. 2026 will be an important year for Kering, a year of construction, reconstruction and certainly transformation, a year in which we aim to return to growth and improve our margins, of course, step by step. We ended this year with a very clear view on the challenges ahead. We know that the environment remains uncertain, but we also enter with a lot of fighting spirit. We are convinced that our race is against ourselves. No matter what happens around, we have to raise our own bar, strengthening our fundamentals and executing better day after day. On April 16, at our Capital Markets Day, we will present the strategy of the group, the strategy of each of our houses and how they will rebuild desirability and regain momentum and the road map, milestones and operational drivers that will support this transformation. I think we're building a leaner, more agile organization powered by a strong group platform, bringing together industrial excellence, client expertise and tech and AI, sustainability and support functions, all aligned behind the same objective. And at the core of this platform, we will embed innovation in products, in client experience, in operation and in technology, innovation that enhances creativity, accelerates execution, strengthens our houses and brings value and new value to our clients. This group platform will give our houses the scale, the clarity and the capability that they need to focus on what creates really value, desirability, craftsmanship and top line momentum. And above all, we will drive this transformation as one team with aligned leadership, accountability, empowered people and the real culture of excellence in execution. On April 16, we will show ambition, but ambition we can deliver with humility, with intensity and with the determination that is typical of a real challenger. So thank you very much for your attention. I think we are now available to answer all your questions.
Philippine de Schonen: Thank you, Luca. So we'll now open the Q&A session. [Operator Instructions] We have the first question from Luca Solca, Bernstein.
Luca Solca: I hope you can hear me all right.
Philippine de Schonen: Yes.
Luca Solca: I wonder when you look at the brands in the portfolio and you look at criteria such as how prepared the vision is and how appropriate the vision is, what is the momentum that you are seeing in the market at the moment? What is the state of organization and leadership in place in these brands? What is the cost profile or the CapEx requirements? Whether you see that, as you said, Luca, you have a lot of work to do in a relatively uniform way? Or whether you see that some of these brands are further ahead, and some of these brands have more work to be done? I'm trying to focus on the current snapshot rather than sort of trying to steal the thunder from the Capital Markets Day when you will tell us the plans. But just an assessment of what you think the starting point is by brand if you were to force rank them in terms of which ones are already prepared and which ones are further behind. Maybe a similar assessment on the broader business. You sort of highlighted efficiency ambitions. Where do you stand on this efficiency program? At the moment, do you think that the bulk of it is yet to be realized? And for example, when it comes to the number of stores that you're planning to close, what would be the floor space reduction that you're aiming to achieve? And what are the other cost buckets that could potentially contribute to making the bottom line richer?
Luca de Meo: Okay. It's a very broad question. Look, I'll try to be as sharp as possible. I would say Bottega and Saint Laurent are very sharp, very desirable brands when you look at the -- and attractive brands when you look at the numbers. I think the challenge or the opportunity, let's put it like this, with those 2 brands is actually to enlarge and to grow them. This is -- so I think we are pretty much in the place where we should be from a positioning point of view. And I believe that we have a lot of potential in terms of growth, both geographically, but also in the product offer. This is exactly what we're doing internally. Gucci is -- used to be in a different situation. You know that Gucci was a brand that had suffered in the last years in terms of desirability. I think we have -- you have probably noticed that we have -- apart from the nomination of Francesca, we have basically completely changed the executive committee. I think it's one of the best team in the industry right now, just look at their track record and their experience. We are working, of course, on the brand strategy for the Capital Markets Day. But in fact, they moved very, very quickly and making some clear decision, and we already see some signs on Gucci. You've seen also that into the numbers, that Gucci is kind of rebounding from the lowest point. But of course, there's much work to sharpen the position to get back to what Gucci is expected to be in the market. Conceptually, it's not very complicated. We have to execute it properly at all levels from product to distribution to marketing to creativity and innovation. You have Balenciaga, could be, let's say, that kind of movement from -- also the change on the Creative Director. Both are great people, but they have a different style, might, let's say, induce the idea that we have a question mark on Balenciaga. But what I could learn is Balenciaga is a very powerful brand and is, my opinion, a bridge to the next generation. This is one of the brands that brings young people, alternative people, people that really like avant-garde fashion into the group. So it has a very, very, let's say, important function into the portfolio. You have -- so these are the big brands. On the jewelry business, I think we are -- there, well, we should be with Boucheron. We have to grow it. I think that the acquisition of Raselli will give us that kind of industrial product development power that will enable us to really do bigger business with jewelry because I think it's underrepresented in our business mix. So we are, with that category, slightly above EUR 1 billion in terms of turnover. I think we can do much more. And then you have cases that are a little bit more complicated like McQueen, where the brand is making losses, important losses. And there, I think the solution is, it's very simple, is that we have to restructure. We have to get back McQueen in terms of cost structure, an investment where, in a coherent way, to the potential of the brand. That's the first step. And we will see then later what we will do with it. But we are already going that kind of process. I think we're closing stores, for example, because McQueen was with more than 130 stores, owned stores, and this was simply too big for the potential of the brand. So we have to resharpen the positioning and lower down the breakeven on the thing. It's a simple -- from a business point of view, a simple decision to -- conceptually to make, and now we are executing. This is a little bit quick the kind of analysis of the thing on the brand side. On the broader business, we already mentioned restructuring of the dealer network. Probably the perimeter in terms of numbers will go down progressively from the highest point, around 20% in point of sales. I'm not sure that this will reflect exactly the same numbers in square meter because sometimes, for example, we have to close a store and open something that is a little bit bigger for some brands where more surface is needed. Take, for example, Bottega. Bottega in China has a lot of small stores, probably we need to close some. But in the moment we go for a new one, we need to have something that represents the ambition of the brand and can fit all the products that we are developing. We are looking at everything, Luca, everything. So I can confirm you that, as I was saying into the introduction, we are very clear in our mind. The opportunity of this crisis for us that we have experienced in the last years is that we can question everything from scratch. This is what we're doing. So we are looking at investment. We are looking at how to improve, let's say, our performance on media investment, on marketing investment. We are reducing stores. But we do it -- we are looking at a lot of potential on the -- what I call the upstream. That means everything has to do with manufacturing, with logistics, et cetera. So I think this part has a lot of potential at Kering because, in fact, in the past, we tended to more look at the downstream. And I believe that we are putting a lot of attention -- this is also a little bit my special because I come from a sector where the industrial part is very, very important. So I've looked at and spending a lot of time on how to reorganize the upstream of Kering. I think one of the key is teamwork. So there is a lot of potential in kind of mutualizing and making sure that the brands can work together to find synergies, especially on the back office. And that's what we're doing. It's hard work, but it's very interesting. It's fun, and we can clearly see the potential. I hope I could answer in a reasonable time to your question.
Philippine de Schonen: Thank you, Luca. We now have a question from Edouard Aubin, Morgan Stanley.
Edouard Aubin: So I have one question on the short term and one on the more medium to long term. So on the short term, apologies to ask the question but I guess investors care, is there is some chatter in the market that maybe the group is off to a slightly soft start to the year. And I know things are really difficult to read given the timing of Chinese New Year. But if you could comment on that. And regarding Gucci specifically, I'd be curious to know how material has been kind of the traffic of the top line inflection since Demna's products have hit the shelves. It seems that things have certainly improved and accelerated, but I'd like to get an update for you, if possible. And I don't know if you're going to be willing to share with us, but related to that, I know you guys don't give guidance, but do you think Gucci could be up or down -- or is likely to be up or down in the first quarter? So that's the short-term question number one. And then on the more medium to long term is on management, Luca, how much of an opportunity for the group is for the group to kind of promote and hire talent over the next 12 months? How material changes will likely to be same time next year? So when we meet again in February '27, are we going to see significant changes or not? For example, I have been surprised a bit by the fact that you still not hired a high-caliber executive from the competition from the luxury goods sector yet. So are people not willing to join the group? Or are you taking your time because you just want to hire the best from the competition? So if you could comment on management changes -- future management changes, that would be great.
Luca de Meo: Okay. So I understand that you are asking me how is it going on in the market right now, how we are -- we see the things happening. As I said before, I think we see a lot of positive signs, including at Gucci, okay? Because the first, let's say, move with La Famiglia was actually pretty successful almost everywhere, I would say, everywhere. Of course, it represents a relatively limited part of the offer. So I have to remind everybody that the first runway from Demna is actually happening on the 27th of February. So we haven't -- you haven't seen anything. What I know is that the Gucci team is working very, very hard, obviously, also the creative team. I can clearly see that they understand very well what Gucci is all about or should be all about. That's what you look and when you look at the product, et cetera. And they also know that they have to develop a collection that covers all the important categories for the consumer. So I'm pretty positive. I'm actually very optimistic about how the things are going. It's -- the environment is what it is. It's not the most dynamic environment in the luxury sector since years. But as I said during the introduction, I think we went so down that the first race is on ourselves. So I think we lost market share in the last years, and now we have to get the thing back by doing properly the things. So we will see growth in 2026. We will see increase of margin on all the brands. And that's basically the situation. For the management thing, I want to say that the quality of the people and the competence of the people in Kering is very, very high. In fact, a lot of people in the last round were promoted from internal. That shows that we had people, that they had potential, they know what they are talking about. Probably the opportunity that I see is to actually integrate people coming from different horizons to complement the vision of a group of people that have been growing in the luxury industry for decades. So I'm not looking at hiring executives from competition, also because practically speaking, sometimes you have gardening leaves of 1 year, et cetera. I don't have time to waste. I need the people immediately. And in the next weeks, you will be seeing announcements of new people coming into this house to cover positions that sometimes don't exist, because we need to structure the organization in a different way. I was mentioning to Luca before, the need to focus on the upstream part of the business. That means the manufacturing, the purchasing, the logistics, the product development, et cetera. So this is a typical area where you need someone on top with a different experience that can bring a new perspective to the sector or at least to our organization. So be patient on the management. It's also true that I'm taking my time to meet a lot of people, because those decisions are important for you, but also for us as a company. It's important to create teams that are very cohesive. Normally, it works when everybody -- each other recognizes the value and the contribution of every single member of the team. So I have to bring top people in, so that they can integrate, and it will happen. And most probably even before the CMD, you will see a few announcements that confirms what I'm hinting, what I'm spoiling to you right now.
Jean-Marc Duplaix: Maybe Edouard, reacting to your comment, it's true that as long as we have not the full impact of the Chinese New Year, it's difficult to assess clearly what could be the landing point for Q1. Two, I think what has been said is super clear. We are projecting and we're working on recovering in terms of growth for '26, but it will be gradual along the year quarter after quarter. And there is something that you need to take into account is that there is a benefit to close, of course, some doors and some stores, because it has a positive impact on the EBIT margin, because we are working to close the dilutive stores, but it is also partly a drag in terms of sales. So it's something that has to be factored also in the way you look at Q1.
Philippine de Schonen: Thank you, Jean-Marc. We now have a question from Erwan Rambourg, HSBC.
Erwan Rambourg: Hope you can hear me okay. So first on stores. In reconquering share, there's obviously a case that you can shrink before you grow. I think, Luca, you said you would probably eventually close 20% of units. I suspect this is at the group level. Gucci seems to be a bit overstored relative to others, and you're at 497 units today. If we think about the medium-term retail footprint for Gucci, is it fair to assume that it would be more than a 20% reduction eventually? And you are in some markets tied into relatively long leases. Is there anything you can do to reduce these leases? So that's my first question. And then second question, coming back to management organization. I think you made a very original hire, which I don't think exists for some of your peers, which is a Chief Commercial Officer at the group level, Mr. Zito. So maybe going back to what you were mentioning about synergies, can you maybe explain that role within the group and how do you project that?
Luca de Meo: So I leave the first answer to your first question to Jean-Marc, who is the absolute expert in the team in real estate.
Jean-Marc Duplaix: No. Erwan, I think, first of all, the ambition that has been set is minus 20% in terms of store footprint from '25, and to midterm, so let's say, around '28. We mentioned already some closures, massive closures, net closures in '25, and of which, in the 75 closures, so based on what Armelle commented, it was already 40% of these closures made with the Gucci stores with a focus on outlet stores, but not only, because we have a systematic review of the quality of the network we have at Gucci and the densities that we have in the stores. And clearly, with the objective to close some doors, especially in Asia, I'm thinking about Korea, Japan and partly China, where your comment is totally relevant, where probably we have a sort of saturation of the market with too many Gucci stores. Going forward, in the minus 20% to come from '25 to '28, Gucci should represent something like 1/3 of this cohort of closures. But having in mind that there will be a concentration here again of the closures in the Asian market, I would say that if I consider particularly '26, I guess that 40% of the closures will happen in the Asian markets. An additional comment about the criteria regarding the closures and what is at stake. It's true that we have long-term lease, but it's part of the global negotiations that we have currently with the landlord. It's, a, to have a global discussion about not only the Gucci network, but the global network we have in terms of resizing, in terms of relocations, but also in terms of rent renegotiations. And that's part of the explanation for the nonrecurring items that we had in '25 and that we would surely have in '26. It's about the cost of the exit of some locations. And here, we are very pragmatic. It's a financial calculation. We look at what would be the accumulated losses or the cost of keeping open a store and the cost to close it. Sometimes we have an arbitration where we keep the store open until the end of the lease. And sometimes, we are closing stores. So that will be the rationale supporting this work of rationalization, but we are very determined. And as said by Armelle, 100 stores for net closures in '26 is the minimum we are targeting, and we are working to deliver more. In terms of square meters, it's around mid-single-digit decrease in terms of square meters with 100 net closures, and we are targeting, as I said before, even more. So probably we could reach ideally high single-digit decrease of the square footage for '26.
Luca de Meo: Maybe building on what Jean-Marc was saying, I think that you have cases like the one I mentioned before, like McQueen, where you will go much deeper into the thing, probably more than 50% of the thing without mercy, because we have to get down. One of the things that we have been organizing, thanks to the support of Jean-Marc and his team, is also a form of coordination that was not necessarily working amongst the brand. So sometimes the locations that are closed are reallocated to other brands because they are interesting. So that kind of team play is one example of how the new Kering will actually work, bringing some opportunity of synergy and solution, because we play as a team. I think it's also, in a sense, the reason for the creation of the position that we've given to Daniele Zito, who was former President of Gucci Japan, a young guy, very talented, very knowledgeable about the retail. The whole idea there is to cut the horizontal -- to cut one of the many horizontals that I will have to cut within an organization that was siloed and structured by verticals on the brand. And this is the idea of basically, you have all the channels somehow in the hands of someone. So retail, wholesale, outlets, e-commerce, et cetera, et cetera, because I think we really need to see the channels altogether. We will understand much better what are the things we have option to decide, how to manage that kind of chain. And this was not the case, because the responsibility was split with different people. And the work of Daniele will be, of course, in coordination with the brand on how to orchestrate the functioning of all the channels in parallel. So it's going to give us a better view. Of course, the work of the group is not to intrude in the commercial policy of the brands. We are there to coordinate, we are there to develop tools, so that the brands can better decide. We are there to support them. The group is there to create a condition for efficiency, and the brands will have the responsibility of nurturing and fostering growth. That's the concept. And yes, so Daniele will be one of the guys cutting a horizontal, which we didn't have before.
Philippine de Schonen: Thank you, Luca. We now have a question from Carole Madjo, Barclays.
Carole Madjo: Carole from Barclays. I hope you can hear me well. Two questions on my side. The first one is about your outlook on 2026, in which you talk about returning to growth and improving margins. Can you share a bit more detail on that? So are you talking about all the brands, including Gucci? I think the market already has, for Gucci, for the full year '26, a top line growth of around 5% and EBIT margin improving by around, I think, to 18% more or less. Do you find these numbers achievable at this stage? That's the first question. And question number two was about the Gucci brand itself. Can you share your view on how you see the Gucci brand DNA going forward? I feel the key debate that maybe Gucci has been too fashion-driven, too exposed to newness. So how do you think about balancing creativity, innovation, fashion authority versus also maybe a bit more evergreen focus to carry over?
Luca de Meo: So on the outlook, we already said what we could say and we wanted to say. So I can confirm you that 2026 should be a year of growth and increased margin, basically on all the brands, all the brands. What you have to understand, of course, I can't tell you exactly the detail. But the way we built the budget with the teams and with the brands was pretty much, you can confirm, Armelle, pretty bottom up. And this is not something that was imposed to the group. So we built it together. And all the people in each one of the brand, CEOs and the people here, are convinced that we have a plan for 2026 that is very reasonable. You can trust the numbers and pretty solid, okay? So that's the way we enter into the year. We know that we have to kick start a new phase and we know that 2026 will be important also to build somehow confidence with you and with the markets, okay? So this is what I can say. On the DNA of Gucci, I mean, I just want to remind everybody that Gucci is one of the top luxury brands on the planet. Don't forget that. And in my career, I've learned something, of course, it was a different sector, that great brands actually are immortal. They never die. If you do the right things, they can rebound. And Gucci in its history has proved many, many times an ability to rebound. And I have a feeling that this is what is starting right now with Francesca and with Daniele. It's not very complicated to understand what Gucci stands for, right? What Gucci has to do. So as soon as we do and we use codes, we execute excellently, both product and customer experience, the market reacts. Look at what happened, for example, with the small collection of La Famiglia. Immediately, the market was on us. I don't want to use information that we take, of course, as important. But a lot of signals are coming from different inquiries that Gucci is back on the radar. And this is only the beginning. And as I said before, just look at -- I had a question before on management. Look at the people that are running now Gucci. So nobody noticed that we made a lot of change in the management, bringing a lot of experienced people. We have a very strong CEO, one of the most talented designer on the planet. So trust that the thing will get better.
Philippine de Schonen: Thank you, Luca. We now have a question from Antoine Belge, BNP.
Antoine Belge: Antoine Belge at BNP. Two questions. So first of all, I think you've been mentioning that Demna will present its collection on the 27th of February. Will there be a bit of see me and buy me now happening? And so maybe in Q2 and then Q3, Q4. So how should we think about the share of the product offering influenced by Demna? And my second question is, in your return to profitability objectives, what will be the attitude to cost. I think in 2025, we already saw quite a significant decline in OpEx. So what more should we expect? And in terms of marketing, should we also expect some savings or a better use of the same dollars? What's the trajectory for marketing expenses in 2026? And actually, it's not a third question, but I think people are asking, so on the 16th of April, should we expect very precise numbers in terms of top line and margin for a certain period? Or is it going to be more an ambition without precise timing?
Luca de Meo: Look, I mean, I will leave, of course, for Gucci, Francesca, the pleasure of unveiling the strategy for the collection. I think that everybody is very aware at Gucci that we need the rhythm, we need the quick execution. And so we have to very, very quickly show some signs of rebound, including on the product side. So expect the collection to be very, very quick in the distribution, okay? But it's a question you should be asking to Francesca and the Gucci team. Regarding OpEx, I think you can expect this year, we had a very important reduction in 2025. You should expect probably stability on the OpEx, but this is a mix of cuts that will continue on things where it makes sense and reinvestment on things to improve the desirability of the brand. So all in all, of course, we will try to reduce -- make the organization more and more efficient. So we'll look very, very detailed on the cost side. But when I look at the numbers, it's basically a combination of further reduction of the things that don't bring value and reinvestment of the things that potentially can bring value. And the same, I think, is for the marketing. What I could see as a problem, but also, therefore, as an opportunity is that we have been kind of protecting below the line into the marketing investment. And we have been cutting on above the line, which is the one that brings traffic to the stores. So this year, we not only are planning to renegotiate some of the contracts with the media agencies to gain efficiency, that is totally possible, I think, and we should do it, but also probably you will see a little bit more accent and investment on the above the line, which is the thing that speaks to consumers basically.
Jean-Marc Duplaix: Maybe just to add on the OpEx side, if I may. I mentioned by Luca, there was a massive decrease of the OpEx in '25, but it started in '24. So over 2 years, we have more than EUR 1 billion of savings in terms of OpEx. And not only variable cost, it's also that we worked hard on the fixed cost. If you look at the headcount also, you see a double-digit decrease in 2 years, which is really an effort of restructuring starting with Gucci, but also with the corporate organization. And that's exactly what Luca said. We will continue in '26 to streamline the organization and to make it more efficient. So that will generate probably additional savings. But at the same time, hopefully, with the increase of the top line, we will have an increase of the variable cost. And we are reinvesting to sustain the growth, typically in terms of tech and things like that, where we will need to have some investments to support the recurring plan.
Philippine de Schonen: Thank you, Jean-Marc. We now have a question from Thomas Chauvet, Citi.
Thomas Chauvet: My first question on the portfolio after the sale of Beaute and your acquisition of the jewelry manufacturer, Raselli, at the end of last year, how are you thinking about brand portfolio management? Specifically, what are your key criteria to evaluate potential acquisitions or disposals? Secondly, on the financial leverage, net debt reduction to EUR 8 billion. That's, I think, 2.2x EBITDA ex lease liability, mainly due to the real estate transaction. That will be reduced by a further EUR 4 billion with the sale of Beaute. What leverage level are you targeting considering also that the Valentino acquisition is only 2 years away? And how do you prioritize capital allocation during the turnaround? And if I can squeeze just a follow-up to an earlier question on Gucci's '26 EBIT margin outlook. Taking into account the cost reduction you've started 18 months ago and the investments required, as you said, Luca, to enhance desirability, how sensitive is Gucci's EBIT margin to top line now? In other words, what is the growth level required this year to stabilize the EBIT margin at the 16% level that you recorded in '25?
Luca de Meo: Look, maybe I'll leave to Armelle the question on the capital allocation, the lever, and the EBIT margin. I'd like to answer to the philosophy in terms of allocation and management of the portfolio. You've seen, let's say, those 2 big movements in 2025. One is the partnership with L'Oreal and the other one is the progressive acquisition of Raselli. It speaks a lot about how we see things. And I would say also the pragmatism that we try to bring and the common sense that we try to bring as a team into our approach to the market. I believe that people from the outside, they actually -- of course, the partnership with L'Oreal was seen very positively by, I would say, everybody. But I think that this, in fact, has been seen as a kind of Kering not really kind of abandoning the cosmetic and the perfumes business. In fact, the fact that we are with them reinforces our position. This is the way I see it. I think we will do much more business than what we could do alone. And the work that we will do together will, in fact, also have a huge benefit to our brand, particularly for the, let's say, investments and the strength of L'Oreal when it comes to marketing practices, okay? For me, the Raselli thing is, I can clearly see that the jewelry business is growing. I see that Kering is not doing so much. I think Boucheron is doing well. All the brands, Qeelin, et cetera, are doing well. But a very big hanging fruit is the business we could do with our fashion brands on that category from custom jewelry to high jewelry. Think, for example, Gucci. Gucci was, 10 years ago, doing 3x the business that they are doing right now in that category. So if you have an engine underneath that can help you develop the right product and right collection, this is a no-brainer, right? This is an hanging fruit that is there. So why we do the jewelry thing? Because it's totally legitimate for our brands, not only the specialist brand, but also because we understand that structurally, Kering is a little bit more dependent from the fashion cycle. And we want to create a form of balance and resilience embedded in the structure of the group. So both the L'Oreal partnership and the reinforcement of our action on the jewelry category are also there exactly for this to actually make Kering less dependent from the fashion cycle. It doesn't mean that we don't have to bring back Gucci what it deserves, we don't have to develop Saint Laurent, Balenciaga, Bottega Veneta, and all the brands. But you can expect in April that we will also talk about resilience and independence from the fashion cycles. That kind of work also has to happen within the brands in terms of the way you build the collection, of course. But our job as a group is also to design, to make the architecture of the group in that kind of fashion, in that kind of direction. I'll leave to you.
Armelle Poulou: So regarding net debt, as you can imagine, with the L'Oreal deal closing in H1 2026, and the cash flow generation that we are going to generate this year, we, of course, expect net debt to decrease very substantially. And we see the leverage ratio, if I use the one pre-IFRS, which we ended the year at 3.4, we see this ratio ranging between 1 and 1.5. This is putting us back in a very good territory concerning also our leverage, and we are very comfortable in our strong investment-grade rating. You've seen that our outlook was confirmed positive stable in October after the Q3 results. Regarding margin, I wanted to remind something I said also last time in Q3 that with the work that we have done on our cost base, we could keep margin flat even without growth. But our ambition is to grow so it will yield an improvement in margin at the group level, but also at Gucci.
Philippine de Schonen: Thank you, Armelle. We now have a question from Chiara Battistini, JPMorgan.
Chiara Battistini: Yes, a couple of questions from me. The first one is, any initial thoughts on how you see the pricing architecture at the major brands evolving in 2026 between price and mix coming with the newness and the innovation that you're bringing to the market? And also how to think about the wholesale channel for the major brands considering especially for Gucci, the major cuts that we've seen over the recent years. But any outlook on that would be great. And then second question, sorry, more short term. But in terms of the gross margin dynamics of H2, I think there was an hedging gain that supported the gross margin. And therefore, I was wondering if you could give some color on the magnitude of that versus the underlying move of the gross margin and what we should be thinking in terms of drivers for 2026 at gross margin level?
Luca de Meo: So we're going to do 1, 2, 3, okay? So Look, on the pricing, for sure, I think that, that kind of bonanza of inflationary power of the industry over the last few years probably should not be there. We know we all hear about luxury fatigue, people telling. And we take this thing into account very, very clearly. I think some of the products that just went off price. So we have been immediately looking at the structure of our collection. And you have seen already some signs of new product coming into the shops where we have -- including, for example, the Famiglia collection from Gucci, where we had been trying to bring to the market, let's say, products at, I would say, a very competitive price. And it works. And this is the customer recognizing this. So at least this is what the feedback I'm getting from all the store managers that I visit. So I think probably our efforts should be on trying to build an offer with the mix of things that are properly priced, but that structurally are creating value for us, okay? So I think that you will see more mix effect than sheer pricing. And this also depends on the way we are building the collection. I think for Gucci -- sorry, not for Gucci, for Kering in general, because we have 3 very important new creative directors, it's the opportunity for them to create desirability with newness. And on newness, you can actually ask for more, let's say, interesting prices. And that's the way we build the thing. So expect something that in terms of value is there that the people will be happy to pay for. But we will try to be competitive, because we recognize that maybe in some categories, we went too far and to the point that then volumes dropped dramatically on some categories and some products. As I said at the beginning, I think we are very clear in our heads on the challenge, and we try to address them one after the other without hesitation.
Jean-Marc Duplaix: Okay. So just a remark about wholesale, just to take a step back if we want to think about 2026, that the evolution of wholesale in the past few years for the industry or for us was partly self-inflicted with some decisions to upgrade the distribution, which is still an objective that we have. And also something more structural with the sort of concentration of polarization of the wholesale distribution. It's important to remind this because, as you know, there is one player which gained some importance in this configuration, which is Saks Global. So when it comes to '26, part of the equation will depend also a little bit of what will be the evolution of the business of Saks Global, even if we think that with the procedure, which is ongoing, there will be a stabilization or improvement of the situation at Saks Global. That being said, if we look at the performance already in Q4, you see that for many brands, there was a sort of not a stabilization, but let's say, sort of normalization in terms of what are the trends. And if we project for next year, it's more or less that what we -- the situation is more or less what we had anticipated is that the size of wholesale business for brands like Gucci, like Saint Laurent, it's always in the range between EUR 200 million and EUR 300 million, considering the number of relevant accounts that we can afford to keep. So that being said, it means that for many of our brands, it will be flat, flat minus, flat plus depending on the brands with the exception of Gucci, where we should see some additional closures or improvement of the quality of the distribution. So I would say, I would anticipate something around mid-single-digit decrease of the wholesale at Gucci for '26.
Armelle Poulou: Regarding the gross margin, as you know, there are many moving parts in the gross margin. The gross margin in H2 was flat to H1. There were, of course, some hedging gains. We will still have some hedging gains into 2026, more skewed to H1, considering the evolution of the currencies. We suffered in '25 from the geographical mix, as you've seen that APAC went down in the mix, and from the category mix, even if I must say that in Q4, because of the progress of the leather goods category, we regained in the mix. In terms of channel, channel was a positive because of the rationalization of the wholesale and the higher share of retail in our mix. And price of raw materials was a headwind, notably on the gold, even if it's not very important when you look at group level, but more significant in our jewelry houses. Looking into 2026, we expect channel to remain positive. Product mix will be positive because we are regaining in handbags. Geographical effect is very difficult to assess at the moment. And we expect the price of raw materials to probably still be a headwind in this year.
Philippine de Schonen: Thank you, Armelle. We now have a question from Zuzanna Pusz, UBS.
Zuzanna Pusz: I have 2 questions. One will be a bit more philosophical, the other one more financial. So maybe I'll start with the sort of more philosophical one. Luca, I'm just wondering, would you be able to tell us what sort of surprised you the most positively when you joined the group? Or maybe in other words, where do you see the biggest potential that hasn't been really properly exploited? And then my second question is a bit more financial. I think that may be for Jean-Marc, that's going to be a follow-up to the comments on space. So you mentioned that space may be, and please correct me if I'm wrong, mid-single-digit to high single-digit negative this year. You just mentioned that wholesale could be down mid-single digits for Gucci. So all in all, if I combine it together with the comments that sales should be up, that would imply probably double-digit like-for-like growth. Can you tell us if that's going to be mainly volume driven? Are you actually seeing that? Just so we can -- in terms of modeling, so we can understand if you already are seeing it, if that's meant to come later maybe in the year when the new collections come, just to understand that.
Luca de Meo: Look, I'll try to answer to the philosophical question with a not philosophical answer. But I have to say that maybe 2 things for me where I would be surprised. One is, in fact, the -- and I remember having a conversation in the first weeks with Francois-Henri on that. The group was built by fostering independence of each one of the brands, which actually was great, so acting a little bit more as a holding and leaving to the entrepreneurial spirit of each one of the brand's team to do what was best for them, okay? And in fact, for a while, this thing worked pretty well here. And if you look at the upside that the Kering has created for some of the brands, I mean, I think from the beginning, I don't know, Saint Laurent was multiplied by 5, Balenciaga by 30. I mean there are not many organizations that were able to create that kind of upside. Now when the brand has become big and the company has become big, probably this is the time to actually build a platform for the group that, as I mentioned before, will enable brands to be stronger, will make the system more resilient, will allow us to share and create synergy between brands, and give to the brands access to things, to technology, to processes that they cannot do alone, okay? So the biggest potential I see is that kind of orchestration of a teamwork between the beautiful brands that we have. Because this is also, on the positive side, is that the brands are really great. I mean we actually own some of the best brands in the whole industry. And now that I'm getting into the thing and I hear feedback from media, from customer, et cetera, et cetera, there is absolutely no doubt that the portfolio of brands of Kering is pretty magic, okay? And by the way, we don't have too many, but we don't have too less. So I think it's a relative right number of brands that it's big enough that we can orchestrate that kind of teamwork. And there, I really see the potential, because it was not designed like this. So the mission that Francois-Henri and the Board gave me was to create that kind of platform, which, of course, as an ex-automotive guy, the name platform resonates to me very, very well. I know how to do it, okay? And probably the other thing that was kind of not surprising, but where I really see potential, but yes, a bit surprising, is that the accent that we would put on the upstream part of the business. So I think there are a lot of things that, also because of this approach, new approach, that we are bringing that where we can make big, big, let's say, step forward into the all industrial on the cost side, on the product development cycle, on the organization on the upstream. So don't let me spoil too many things that I wanted to say on the 16th of April. But for sure, one of the things which I found weird for a guy coming from a heavy industry sector was the level of emphasis on those topics, but now it's getting into the conversation, and we're spending a lot of time together to actually strengthen the upstream, you can call it verticalization, you can call it the way you want, but it's the way you actually engineer and control the back office things.
Jean-Marc Duplaix: So Zuzanna, let's forget philosophy a few seconds, and let's move to figures. So send me your Excel file, and I will help you. No, I'm kidding. So more seriously, I think, first, in your reasoning, first, please consider that, as you know, wholesale now is not so huge in the contribution to the sales of Gucci. And when it comes to space, just to help you to figure out, we are closing, of course, doors, which are not the most productive. So you should not apply the average sales density to the square meters that we are closing. By the way, we are not closing the 1st of January. So of course, we are embarking the impact of the closing of '25. But when it comes to the closing of '26, it will be spread over the year. For sure, however, to come to your like-for-like growth, without disclosing, of course, our ambition, it's not double-digit growth, but it's a significant growth. That's the reason why we are starting the year with a lot of humility and knowing that there is a lot of work to do. The objective is, of course, not to redirect all the traffic from the stores we are closing to the other stores. It's an equation which is very difficult to solve. But it's, first of all, to increase the sales density of the stores we are keeping. And that's really the objective we have, and it's very correlated, of course, to the desirability of the brand, because the sales density, as you know as well as me, it's about traffic, conversion, units per ticket, average selling price. So we can work already on the average selling price with the structure or the architecture of the collections. Thanks to the energy and the commitment of our sales associates, as mentioned by Luca, about the excitement we have around the brand, we can work on the conversion, but we will need traffic at a point. And it will be the work we will do in terms of desirability along the year. That's the reason why we will invest some money in marketing. I'm not talking only about advertising and marketing in all the different directions to recreate the desirability and to drive the traffic. And it will go along the year. That's the reason why, of course, at the beginning of the year, and coming back to the first question about Q1, of course, you will have still the drag of the closures and not the full impact yet of the recovery in terms of desirability.
Philippine de Schonen: Thank you, Jean-Marc. We'll take a very last question from Charles-Louis Scotti, Kepler Cheuvreux.
Charles-Louis Scotti: I have 2. The first one on the profitability. When I look at Kering mid-cycle average margin, it's been around 20% since the group became a luxury pure player, and around 24% to 30% since Gucci reached a critical scale. I guess you will address this topic during the CMD, but do you believe you can bring the profitability back to those more normative historical levels? And if yes, is this achievable even without assuming a renewed super cycle at Gucci? And the second question on Beaute. It seems that Coty's new CEO sounded a bit more open on earlier termination of the Gucci Beaute license. Will you have any interest in taking the license back ahead of the current June 2028 maturity? And do you think it will be a strategic plus to relaunch Gucci Fashion and Beaute at the same time under a, let's say, fully coordinated approach?
Luca de Meo: Look, because we are a bit short in time, I will answer to your first question with simply a yes, okay? On the second one, I mean, there is some kind of, let's say, court cases around Coty. So please allow me not to elaborate on the topic. We continue to do -- as a licensor of the thing, we continue to respect all our engagements and the contract. And this is a discussion we would preferably like to have, I would say, directly with Coty in a good spirit. And so we'll probably answer to your question in a few weeks.
Philippine de Schonen: Thank you, Luca. Thank you to all of you. Thank you for your questions. And we are very sorry as we were not able to go through all your questions. But of course, the full IR team is available today and in the coming days to answer all your questions. We'll be very happy to be speaking with you again on April 14 for the Q1 revenue release. And then obviously, on April 16 with our Capital Markets Day. Have a good day. Thank you to all of you.